Operator: Good day ladies and gentlemen and welcome to the Third Quarter 2012 SQM Earnings conference call. My name is Tawanda and I will be your coordinator for today. At this time, all participants are in listen-only mode. Later we will conduct a question and answer session. If at any time during the call you require operator assistance, please press star followed by zero and a coordinator will be happy to assist you. As a reminder, this conference is being recorded for replay purposes. I would now like to turn the presentation over to Mr. Mark Fones, VP of Finance and IR. Please proceed, sir.
Mark Fones: Good afternoon everyone and welcome to SQM’s third quarter 2012 earnings conference call. For your information, this conference call will be recorded and is being webcast live. You may access the webcast later on our website, www.sqm.com. Joining me today, our speakers are Patricio Contesse, Chief Executive Officer; Patricio Solminihac, Executive Vice President and Chief Operating Officer; and Ricardo Ramos, CFO. Before we begin, let me remind you that statements in this conference call concerning the company’s business and outlook, future economic performance, anticipated profitability, revenues, expenses or other financial items, anticipated cost synergies and product or service line growth, together with other statements that are not historical facts are forward-looking statements as that term is defined under federal securities laws. Any forward-looking statements or estimates reflect the best judgment of SQM based on currently available information and involve a number of risks, uncertainties and other factors that could cause actual results to differ materially from those stated in such statements. Risks, uncertainties and factors that could affect the accuracy of such forward-looking statements are identified in a public filing made with the Securities and Exchange Commission, and forward-looking statements should be considered in light of those factors. I now leave you with our CEO, Patricio Contesse for brief comments before we move to Q&A.
Patricio Contesse: Good afternoon and thank you for joining us. We posted strong earnings during the third quarter of 2012 and we are pleased to be able to discuss them with you this morning. Our results were led by increased average price in iodine and by increased sales in volumes of potassium, lithium, and industrial chemical business lines when compared to last year. In our iodine business line, prices remained high during the third quarter of 2012 and demand continues to grow at a healthy rate led primarily by X-ray contrast media and pharmaceutical applications. In the lithium market, prices have increased over 10% in the first nine months of 2012 when compared to the first nine months of 2011. In the lithium market, demand continued to grow led by batteries, and as a result we should see our sales volume from lithium and derivatives increase over 10% compared to the sales of volumes in 2011. As expected, sales of solar salts increased significantly and our sales revenue during the third quarter increased 80% year-on-year; however, we will likely see significant volume decrease in solar salts during 2013 as projects are delayed. This volume decrease should be temporary and we remain confident of the long-term potential of the solar salt business. In our fertilizers market, revenues and (inaudible) in our production business line were up compared to the third quarter of last year; however, with the global produce market facing a difficult environment, pricing has been pretty unstable in the past weeks and will be difficult to predict in the near future. In our SPN business line, SQM volumes were impacted by a return of a relevant customer to the market and our revenues were down compared to the first nine months of 2011. Capital expenditures plans are moving forward and we still expect to invest about $500 million during 2012. We’ll continue to monitor the financial markets and developments in Europe very closely, and with the slowdown is starting to show some effect in volumes across all our business lines; however, our unique commercial flexibility and operational synergies will allow us to continue maintaining our competitive advantage and to react and benefit to changing market needs. Thank you very much.
Mark Fones: Thank you, Patricio. Operator, we may go now to the Q&A session.
Operator: Thank you. [Operator instructions] Please stand by. Once again, ladies, that’s star, one to ask a question. Please stand by while a list is compiled.
Mark Fones: Okay, thank you all very much for joining us today and we hope to have you with us in the next conference call. Goodbye everyone.
Operator: Ladies and gentlemen, this concludes the presentation. You may now disconnect and have a great day.